Operator: Greetings and welcome to Flotek Industries Third Quarter 2022 Earnings Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to turn the call over to Mr. Bernie Colson, Senior Vice President of Corporate Development & Sustainability for Flotek. Thank you. You may begin.
Bernie Colson: Thank you and good morning, everyone. We appreciate your participation. Joining me today and participating on the call are John Gibson, Chairman, Chief Executive Officer and President; Ryan Ezell, Chief Operating Officer; Seham Carson, Interim Chief Financial Officer; James Silas, Senior Vice President of Research and Innovation; and Nick Bigney, Senior Vice President, General Counsel and Chief Compliance Officer. On today's call, we will first provide prepared remarks concerning our business and results for the quarter. Following that, we will answer any questions you have. We have now released our earnings announcement for the third quarter of 2022 which is available on our website. In addition, we posted an updated investor presentation that you are welcome to download and refer to during this call. As a reminder, today's call is being webcast and a replay will be available on our website. Please note that any comments we make on today's call regarding projections or our expectations for future events are forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to review our earnings release and the risk factors discussed in our filings with the SEC. Also, please refer to our reconciliations provided in our earnings press release as management may discuss non-GAAP metrics on this call. I will now turn it over to John.
John Gibson: Thank you and good morning, everyone. Thank you for joining the discussion of our third quarter results 2022. We've been looking forward to reporting our results today as well as providing some color of what's transpired since quarter end. The third quarter 2022 marks the second full quarter that Flotek has operated with the ProFrac supply agreement which we have described in detail in the past quarter. We're happy to report another quarter of strong revenue growth with 55% sequential revenue growth which is up 4.5x year-over-year. To echo what other large energy companies have been saying in their recent earnings press releases and conference calls, we believe strongly that we are in the early years of a tight supply cycle triggered by underinvestment in infrastructure and new sources of oil and gas production. While shorter demand cycles will come and go depending upon the fluctuating macroeconomic backdrop, we believe the tight supply cycle is durable and will provide underlying support to oil prices for multiple years. To my knowledge, in the absence of significant demand destruction, there's only one way to solve for supply-driven price increases. That is to increase investment across the entire value chain in order to increase production. However, complicating the fundamental laws of supply and demand is that operators are displaying a level of capital discipline that we've rarely seen. And there is significant tightness across the supply chain. Despite healthy oil prices, E&Ps are still focused on growing production but rather on maintaining production with the least amount of capital investment by developing only the highest return wells. This return's focus has resulted in record cash flow generation from oil and gas producers with much of the excess cash being returned to shareholders in the form of dividends and share repurchases. We believe the industry's returns focus and capital discipline plays well to our strategy of being the collaborative partner of choice to producers as our chemical solutions sold for maximizing well value, not simply minimizing cost. Our producers' customers' report achieving better well performance with Flotek Chemistry all else being equal. Now let me walk you through the adjusted EBITDA number we reported in the quarter. Included is a $1.9 million bonus accrual. While we hadn't previously accrued for bonus payments in the first half of 2022, it is critical that we pay competitive compensation to retain our highly talented and motivated colleagues so we're able to achieve the full scope of our business model. We've had a fantastic year and our employees need to be recognized. We are pleased that Q3 adjusted EBITDA as a percentage of revenue was significantly improved again, growing to negative 18% from negative 25% in Q2 and negative 42% in Q1. Q3 was the fifth consecutive quarter of improving adjusted EBITDA margin, providing evidence that our business transformation is truly taking hold. Ryan will provide greater detail on revenue and expense drivers in his commentary. But in summary, we are confident in our ability to continue to increase fall through to the bottom line going forward. In the investor deck that we posted to our website yesterday, included this slide illustrating the steady improvement in adjusted EBITDA margin which has taken place over the previous 5 quarters. We expect this trend to continue through the end of '22 and through 2023. Lastly, I'd like to address the cash balance before Seham goes into details in her remarks. I want to stress that we believe we have the necessary cash to execute our business model. The revenue we reported in Q3 exceeded what we reported for the entire year in 2021. Growing a business at this pace requires working capital. As a result, we continue to use all of the resources at our disposal to ensure adequate liquidity in order to achieve the full scope of our business. We are optimizing for all sources of cash. We recently engaged a third party to help us improve the order to cash collection process and we're starting to see benefit from that effort and we expect that to continue into Q4 and beyond into 2023. In addition, we continue to explore options to raise capital. We had an opportunity to secure an ABL during Q3 but decided to pass as the terms of the facility weren't really acceptable. We're being disciplined in the face of a lower cash balance because we're confident that the terms we will be able to secure after the company process into positive adjusted EBITDA territory will be significantly better than those we were offered during Q3. Therefore, weighting is a more prudent option, considering how close we are to crossing that line. Lastly, I want to emphasize that we're focused on the asset-based lending markets rather than equity markets in order to prevent further dilution for our current shareholders. Our future success hinges on our ability to support the success of our customers' customers versus the oil and gas producers that rely on our products to maximize production while minimizing cost and environmental impact. With such a change in the market here where customers focused exclusively on costs are starting to give way to customers more concerned about maximizing the value of each well. They intend to get the best initial production rates. They want to enhance their total ultimate recovery and they're trying to avoid reservoir damage caused by careless chemistry and all of these are at the top of their mind. This trend strongly favors our core capabilities and market position and we're excited to see how much market share we can gain in the coming years as a result. With that, I'd like to turn the call over to Ryan. Ryan?
Ryan Ezell: Thank you, John and good morning. This quarter represents another positive step for Flotek as revenue growth continue to rapidly expand, further exemplifying that our strategy to be the collaborative partner of choice for sustainable, optimized chemistry and data solutions is gaining momentum. Let's get right to the operational highlights. As John mentioned, total company revenue increased by 55% sequentially and more than 4.5x over the same period in 2021. We doubled the average number of ProFrac fleets serviced in Q3 with further growth continuing into Q4 2022. Our transactional chemistry technology's revenue grew over 10% sequentially, outpacing the hydraulic fracturing fleet market growth for the fifth straight quarter, further indicating that we are gaining market share with our customized chemistry solutions. All in all, Flotek served approximately 8.4% of active U.S. frac fleets in the third quarter, representing an order of magnitude increase over 2021. Our data analytics segment revenue grew 138% versus the prior quarter as our focus on core applications continue to gain traction coupled with the momentum gained from the successful monitoring of field gas quality by our Verax analyzers. We recently announced an agreement with ProFrac to supply them with 20 of JP3's Verax analyzers to be utilized in the field to enable displacement of diesel fuel field gas. Our Verax analyzers have been deployed on 6 ProFrac fleets thus far and the initial feed pack is positive. Our industry research shows that maximizing the use of field gas can result in the reduction of diesel fuel consumption and result in greenhouse gas emissions by over 50%. Most importantly, the growth milestones presented above were achieved with 0 recordable and lost time [indiscernible] in field operations. I'm pleased with the solid performance Flotek delivered in the third quarter of this year and I think all Flotek employees for their hard work and contribution to these outstanding results and dedication to collaboration, safety and service quality. Transitioning into a few of the key details for the quarter, I'd like to discuss the status of our mutually beneficial partnership with ProFrac. As a reminder, our contract with ProFrac was effective as of April 1, spans 10 years and covers an equivalent volume of our full suite of downhole chemistries to serve 30 of their frac fleets or 70% of their total frac fleets whichever is greater. As of Q3, we have passed the halfway mark of the original ramp, serving an average of 16 fleets and we remain confident that we will achieve the full contract scope over the coming quarters. We also have no reason to expect that our relationship is bounded by the 30 fleets or 70% numbers. As we continue to provide exemplary service, ProFrac has the incentive to maximize chemical deliveries from Flotek due to the structure of our arrangement. In Q2, ProFrac announced the acquisition of U.S. Well Services which closed last week. As a result, they expect to be operating 44 active frac fleets by the end of the year. We fully expect that we can win that incremental business as the goal is for ProFrac to desire to purchase chemistry from us for its entire fleet. As we have been saying, this agreement has proven to be transformational for Flotek and the industry. As a result of this agreement, E&Ps now have a comprehensive, vertically integrated completion solution that reduces emissions and delivers greener chemistries, thereby protecting air, water, land and people. Over the next decade, we anticipate the agreement should create a backlog of more than $2 billion in revenue for Flotek, including anticipated revenues in excess of $200 million in 2023 for the ProFrac contract alone. And this number does not include any of the impact for ProFrac announced acquisition of U.S. Well Services. I will also continue to stress that the contract is nonexclusive, allowing us to add new customers and continue to grow sales volumes to the rest of our energy chemistry customers which we've successfully done for 5 consecutive quarters. We are laser focused on growing this higher margin, higher value-added portion of our business. Now looking at the quarterly performance, we continue to make steady progress in growing market share and outpacing industry activity levels. I'm particularly pleased that we are experiencing customer portfolio expansion with both domestic and international E&P operators as well as service companies as we deliver on our continued commitment to diversify our revenue stack and minimize risk of customer concentration. We previously stated that we have the ability to double our manufacturing capacity utilization levels without significant capital investment. We are confident in our ability to satisfy further significant growth without needing to build additional facilities which will conserve cash and minimize direct costs. In the spirit of reducing cost and improving margins, we are also achieving operational efficiencies and economies of scale while rapidly increasing revenue each quarter. As a result, our improved leverage from increased volumes has not only aided in the securitization of material allocation volumes with our top product lines, it has also provided the realization of tiered volume pricing structures or raw material cost savings. Additionally, the challenging logistics environment experienced in Q2 exhibit improvement in Q3 with the freight spend as a percentage of revenue declining as the journey towards improving cost trends and more efficient operations continue. We are actively executing direct actions to minimize freight-related efficiencies and drive a world-class delivery network for products to our in-basin customers. Finally, we made a strategic decision to discontinue the FDA-regulated hand sanitizer product line within our professional chemistries portfolio. This resulted in a $1 million write-down of related raw materials and packaging. However, our professional chemistries portfolio which includes specialty chemical products to address the long-term challenges of the janitorial sanitation food services in adjacent markets will continue to be in the central part of our growth portfolio as it shares similar raw materials and capabilities of our EPA regulated chemistries in the energy sector. This allows more focus on core business activities and reduces overall regulatory costs going forward. In summary, I continue to be optimistic about the future. I'm excited about our mission to provide differentiated solutions that maximize value to our customers. Simply speaking, we are focused on protecting water quality, minimizing formation damage and improving the estimated ultimate recovery of every completion while maintaining our commitment to corporate responsibility, market share growth and SG&A discipline. Now, I will turn the call over to Seham to provide key financial highlights.
Seham Carson: Thank you, Ryan. I would like to begin by reminding everyone of several accounting considerations related to our convertible notes and supply agreement with ProFrac which proved to be meaningful again in the third quarter. First, there will be quarterly noncash entries to account for mark-to-market adjustments to the value of the convertible notes over the 1-year life of the note. In Q3 2022, we swung back to a noncash loss of $4.25 million compared to last quarter's noncash gain of $17.2 million. Let me elaborate a bit as these numbers are significant and will continue to add quarterly volatility to our financial results. The Q2 2022 noncash gain of $17.2 million resulted primarily from a significantly lower stock price on June 30, 2022, compared to March 31, 2022. In contrast, the Q3 noncash loss of $4.25 million reflected a similar stock price on September 30, 2022, compared to June 30, 2022. But we experienced a change in discount rate assumption methodology that resulted in a lower discount rate, higher note fair value and therefore, a noncash loss to Flotek. Just as a reminder, we will only book these fair value adjustments through Q2 2023 at the latest which is the 1-year anniversary of issuance of the second tranche of convertible notes. All our convertible notes have a 1-year mandatory conversion feature. Secondly, during the third quarter, there was a $1.2 million noncash reduction to revenue recorded related to the amortization of our ProFrac contract asset which compares to the $737,000 revenue reduction we recorded in Q2. Our contract asset represents the value of the convertible notes issued as consideration for the initial ProFrac supply agreement in Q1 and the amendment in Q2. The cumulative fair value of these notes as of the closing date of the 2 tranches was approximately $83 million and recorded as a contract asset which will be amortized over the 10-year life of the ProFrac supply agreement and be reflected as a noncash reduction to revenue in our financial statements prepared in accordance with U.S. GAAP. Again, I want to emphasize, these are noncash adjustments and that we can expect to see additional noncash adjustments each quarter but the magnitude is difficult to predict as it is based on the share price and other variables. If you're interested in getting into the detail of how the convertible notes are valued, please refer to our SEC filings for the methodology and underlying assumptions. Now, moving on to the income statement in Q3. Consolidated revenue of $45.6 million for the quarter was up 55% compared to Q2 2022 and up 347% compared to the third quarter last year. Revenue included a $1.2 million noncash reduction associated with the ProFrac contract assets. Consolidated cost of goods sold of $47.5 million was up 50% compared to last year. The increase was primarily attributable to ramp-up expenses associated with the ProFrac supply agreement. In addition, we booked a $1 million write-down of inventory related to our decision to discontinue our FDA-regulated hand sanitizer products. Gross margin during Q3 2022 was negative $1.8 million, up from negative $2.3 million in Q2 and positive $6.2 million in Q3 2021. However, this gross margin number included the $1.2 million noncash reduction associated with the ProFrac contract asset and the $1 million write-down of inventory. Third quarter SG&A of $9 million was up 22% to Q2 2022 of $7.4 million and up 121% compared to Q3 of 2021. However, this number included total bonus accrual of $1.9 million. Our non-GAAP adjusted EBITDA for the second quarter was a loss of $8.4 million which declined $1.2 million compared to last quarter's loss of $7.2 million. Adjusted EBITDA included a 1.9% bonus accrual just discussed. Let's move on to the balance sheet. At the end of the third quarter, we had cash and cash equivalents of $8.6 million versus $33.1 million at the end of the second quarter and $24.9 million at the end of the first quarter. The decrease in cash was due to increases in inventory and accounts receivable necessary to grow the top line at 55% sequentially in operating losses. Today, we have $11.1 million of cash on hand. Also, a great finish in billing in October as a result of process and system improvements recently implemented which will continue to accelerate the time it takes to bill our customers resulting in reduced collection periods, including some early payment incentives. As we look forward to the fourth quarter of 2022 and 2023, our goal is to leverage our liquidity to continue significant revenue growth and we drive toward getting positive adjusted EBITDA and an organically growing cash balance. In addition, we continue to evaluate options for our Monahans, Texas facility and expect to provide an update in the coming quarters. At this point, I will pass the call back to John for his final remarks.
John Gibson: Thank you. I would like to again thank our shareholders for helping us unlock an incredible opportunity and secure the future of our business. This is the first time in my career I've been with a company with such a robust backlog. And I am optimistic about our ability to convert revenue growth into earnings going forward. And I do wish to thank our employees, in the presence of this incredible growth rate and ramp-up have done an outstanding job in helping us flawlessly execute and ensure that our customers are receiving the products they need on time, safely with a focus on the environment as well. I just thank all of our employees for the great job they've done. I just appreciate you joining the call and I appreciate your continued support. Thank you. Back to you, operator, for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Looks like our first question here comes from Don Crist of Johnson Rice.
Don Crist: I wanted to start on the chemicals business. Obviously, we're going into the fourth quarter. There could be some weather impacts and such that normally hit in the fourth quarter and the first quarter. Is there anything that you can see right now that would slow the ramp-up in supplied ProFrac fleets out there from maybe a weather perspective or any other kind of supply chain issue?
John Gibson: Ryan, go ahead.
Ryan Ezell: Hi, good morning. At this point in time, we always have to be cognizant of potential weather impacts in Q4 and potential changes in activity. And when we look at our forecast, we have taken those considerations into account. I do believe when I look at ProFrac specifically and we look at the locations where the fleets are growing which is particularly the West Texas, South Texas and East Texas areas, I feel like we have less exposure in terms of weather than we would to say we were in the Williston or further up into the Northeast. But we always do take those potential accounts into consideration. And I don't suspect any major disruptions and our ability to deliver chemicals and/or updates and activity. And what's been unique is that, I would say, in this quarter, at this period in the fourth quarter, considering the typical seasonality, it's still quite a bit of momentum as we get ready to finish up the year.
Don Crist: So we should still expect a ramp-up of 7 or 8 fleets or so on that same path that you've been for the past couple of quarters?
Ryan Ezell: Yes. We're looking I would say -- if I was going to say, I would say the 5 to 7 on average is what we're looking at. And that's, like I said, not taking into consideration anything that we might would pick up from the U.S. Wells acquisition which closed last week.
John Gibson: So low to mid-20s for ProFrac is what we're looking at, Don. And it's a good question, too, on activity. Seasonality usually dolls activity back in Q4 and we're not seeing any of that right now. I mean that's -- during Covid, people went home at Thanksgiving, came back in January. Right now, it looks like due to equipment availability, they're going to run it right up to the New Year.
Don Crist: And switching over to JP3. You're supplying 6 fleets right now, the ProFrac fleets right now under that contract for 20. What is the ramp-up schedule there? And I know you were a little bit hesitant last quarter to give any kind of revenue or profitability metrics around that. But are you willing to get anything now that you've got several systems deployed?
John Gibson: Well, we're still rolling them out. We've got -- I think we had 6 deployed already on ProFrac fleets. We've got a ramp up of another 14. We're continuing to work with them to get the installs and get them out to the field. Very excited about that. The great part about that one is it's a proof of concept. It demonstrates the robustness of it on a trailer. The ruggedization of it is outstanding, so that this works, not just like a sensor that you bolt on to a stationary site. So working with ProFrac's been outstanding there to really prove the technology. I'm still reluctant to give out the growth rate on it, it's -- though it's picking up. And I'd say we had the best quarter we've had in a long time in Q3 and don't anticipate that backing off for a while. I mean we are -- we've got a really strong pipeline and we're beginning to get the traction that we need there. As we go forward, it's just not a large enough revenue that I would have you modeling in the margins from that yet. I am looking forward to the point where I've got to get out and be more forthcoming on that because the margins are a big contributor but not yet, Don [indiscernible] competitors.
Don Crist: And just sticking with JP3, when we were in your offices a couple of months ago, you had talked about third-party potential. How are those conversations going? And how is that marketing effort going to bring JP3 to the more chemical industries or industries outside of the oil field in general?
John Gibson: Well, oil field related, I mean it has a big opportunity in the midstream side but we're also in the power generation side where people are using gas and the quality of gas is important. And so we're seeing some big ramp-ups in power generation and using field gas or compressed natural gas and the people in that sector are pretty excited about it. So it's still gas related. And so any time I look at it, I go it's still sort of oil in the gas industry because it's connected directly to natural gas and field gas. And so the power industry, the compression industry, the midstream industry, downstream, all of those are really core to JP3 and we have good conversations going on in all 4.
Operator: Our next question comes from Jeff Robertson of Water Tower Research.
Jeff Robertson: You talked about increasing market share in Flotek's chemistry improving well performance. Are there certain reservoirs that chemistry has a more significant impact than others and give you an opportunity in certain basins than to increase market share?
Ryan Ezell: That's a great question. And I think that is the what I consider to be the million-dollar question on the advancement of how we're targeting to increase our value-add sales and improve margin as we roll in 2023. Typically, what we see in a strengthening market, like what we have now and one that will be sustainable is that the focus on the maximum ultimate recovery that they can get from the reservoir really comes into plate. And if you were to take the chemistry that we have for particularly our prescriptive chemistry management service which looks at cuttings, produce, water, the types of crude formation impacts and the whole chemical system that's applied, with customers, particularly E&P operators that we work directly with, we see as high as a 15% to 25% improvement in the initial flowback and what we see on the overall type curves. And those are the types of customers and we say we want to help the customers' customer being that when we work with our service companies and the [indiscernible] operators that choosing the proper chemistry does overall improve the overall well performance when we're looking at the completions that we see. And it doesn't matter for us. We see them in Mid-Con, we see them in the Permian Basin. We see the same thing in East Texas. So I definitely think that the choice of the proper chemistry is an overall better return on the investment when you look at it that way.
Jeff Robertson: Ryan, does that give you an opportunity to sell higher-margin products when you work with producers on the prescriptive chemistry aspect of their completions?
Ryan Ezell: That's 100% correct. So when -- if we look at part of our strategy was, was to, a, be able to get volume through working with service companies and delivering flawless execution and minimizing any impact on safety and MNPT at the wellsite. And this gives us indirect contact with those asset owners, the E&P operators that allows us a pathway to utilize our laboratory capabilities and our differentiated chemistries to improve the overall completion. And that's 100% of the pathway that we'll be executing on as we finish this year and rolling to 2023.
John Gibson: Jeff, if you think about it, we have radically grown our core chemistry business and that allows us to be in doing the value sell loans with each one of those producers. And that's where I think we're going to see margin expansion as if we move from sort of core chemistry to value-add chemistry. But to be there, you have to have the core chemistry in place and it gives you that opportunity to sit in their office and explain how you're going to improve production, you're going to improve recovery, you're going to improve the day rates on those wells. And so we now have that opportunity and we'll be working very closely with them because that's part of our margin expansion story.
Jeff Robertson: John, on the cost side, are there certain levers that you can address that are more impactful on your progress to getting to a positive EBITDA situation than others?
John Gibson: There are -- there's things as simple as reducing our cost of facilities and we are working on that. And hopefully, we'll have an announcement here in the next quarter or so as we look at changing office space, et cetera, always trying to lower our cost. But there's a lot of things we could do more dynamic associated with the products and how we deliver. And I'll let Ryan jump in.
Ryan Ezell: Yes. I mean when we look at the overall cost base, there's 2 big things that play a big role in delivery in our margin enhancement. One is our overall raw material has been good, cost of goods sold and what we do on the delivery side, on the freight. And if you look at what we're doing from the -- if you really break the numbers down in terms of where we're seeing material cost of goods improvement, we are now -- in Q2, we were starting to establish our ability to have these economies of scale which moved into full delivery in Q3. And now we've been able to move into tiered pricing structures and enhanced cost savings that we see on the overall material spend. And if you were to go back and look at our days' inventory outstanding, we've seen that improve significantly from Q2 to Q3 which means we're turning the products faster. But in reality, what we saw is about a 70-day delay in the map improvement. So it's kind of that full impact from the material pricing hasn't going to hit us right until start of Q4 and what we'll see going into 2023 because they are significant as they're starting to move in and we're going to see margin improvement on the overall material cost. The second big impact for us is we're moving millions of pounds of chemistry every month. So us being able to maximize the efficiency on freight is a huge deal. We exited Q2 with freight as a percentage of revenue at almost 11%. We exited Q3 back down at almost 8% and we targeted to get that down in the 6% range as we come out of Q4 into 2023. And when you look at it, these are big drivers that give profitability straight fall through to the bottom line. It's something that we're executing as we achieve the economies of scale and efficiency once we want the ramp starts to stabilize a bit.
Jeff Robertson: Ryan, some of those freight savings from some of the things you've talked about in the past which is in-basin delivery and just less return of chemistry?
Ryan Ezell: It's a synergy of 3 major impacts. One is that because we've got such a scale of volume moving, we were able to go back out and tender our inbound, outbound and in-basin delivery services which gave us better spot prices and better contracted freight rates, number one. Number two, we've increased our efficiency. We track on a weekly basis, what we call non-value-add moves or moves that do not relate directly to revenue generation. And we have KPIs that drive where we want to be improving week on week until we get to the steady-state driver there. And the final component is handling the returns. Our ability to do well to well transfer in basin now versus having to return to the main facility that we operate out of in Marlow, Oklahoma, is a significant savings because you're looking at a move, 2 moves there over long distances that didn't generate any revenue. And so those 3 driving factors are what we're doing to improve the freight efficiency. And I'm very happy with the progress that we're starting to see there.
Jeff Robertson: Lastly, on the -- follow-up on the JP3, it sounds like that's moved more from a proof of concept in terms of the impact that you all -- that your analyzers are having with Flotek to an adoption, at least with them. Are you seeing or can you talk about any inquiries you're getting from other potential customers to deploy those analyzers? And is there a capacity limitation on your ability to build them and put them out into the field?
John Gibson: Yes, those are all excellent questions. I'm a little reticent to talk about the customers where we haven't got any yet but we're getting closer because I don't want to give a competitor any insight into where to go and look for soon to close opportunities. On the supply chain, when that's a great question, much like any other industry, when you take a look at chips, electronics technology, there're supply chain issues but we're working very closely with our suppliers. And currently, we have enough sensors that are in the queue coming in to cover off all of next year unless it's unbelievably good. And it would be great. With the number of sensors we have, it would have to be outstanding for us to need more. And then, we've got a plan going into 2024 that gives us more than we need and we're working on the price point of that as well. So any time you're in the tech business, you've got to constantly be after the cost curve and reducing the cost of the device in order to stay competitive. And so we're doing both of those. We also brought on a leader named Ron Holsey and Ron, is just outstanding. His connections in this sector, relationships to the big customers' follow-up is producing some great opportunities for the pipeline. So as we get those, we'll press release those as we go forward. And hopefully, Q4 will have 1 or 2 of those at it. And I think early next year, we've got a lot that are in the pipeline that are closing where pilots are underway.
Operator: [Operator Instructions] Our next question comes from Eric Swergold of Firestorm Capital.
Eric Swergold: Ryan, perhaps you could talk a little bit about pricing. Your OFS customers have been actively raising prices in the field given their constraints. Given the amount that they've raised prices, does that leave some room for you to raise prices to them?
Ryan Ezell: Eric, that's a great question and I would say 100% of our focus. And John and I have discussed this at length and particularly following overall oilfield services versus the chemistry component oilfield services. And typically, when we see a strengthening market, particularly what we're seeing now where the capital is pretty tight in terms of the availability of hydraulic fracturing fleets and the hydraulic horsepower, they total a lot of the bigger stick on the pricing component and have been able to push spot pricing and contracted pricing up significantly from what it would have been at the end of last year. And what we see with chemistry is chemistry is starting to -- if we're selling to the service companies, we've started to be able to push the pricing through. And for E&Ps, we're starting to see price release and increase pricing as well. But it moves out of sync with what we've seen traditionally, with like the horsepower and the iron. That's already reached a good solid peak on where it is. And we're starting just now to really start to see our ability to push prices up coming to play in Q4, what we're going to see in 2023. And that's not unlike the past cycles that I've had experience with over the past 20 years where the chemistry or chemicals typically move a little bit out of sync. And what we're seeing is a potential impact on near-term margin because we're absorbing a little bit of raw material cost increase until we can transfer that turn rate and that pricing out to any of these customers but we have started doing that aggressively across the board on all accounts.
Eric Swergold: And then my next question is, this looks like it's the first bonus accrual in some time. Can you give us a little more color on that?
John Gibson: I'd certainly do that. As we took a look at the year, Q1, we really didn't have an opportunity to earn a bonus in Q1. In fact, I think we're at that point where I would said the year would have been 0 had it not been for the contract with ProFrac. Even though we'd have been growing, we wouldn't have hit the numbers that we needed. So in Q1, we didn't accrue. And in Q2, we have started the contract up with ProFrac and I'll talk a little more about that at the end of the call. And we took a look at it. It was a little bit hard to understand exactly how rapidly we'd ramp up. And so it was in a gray area and we chose not to accrue in Q2. When we get to Q3, we had to catch up Q1, Q2, Q3 and accounting would say you need to take a look and do at least Q3, Q4's of it if you're going to do that based on what you think your payout is going to be and we did that. So, I bit the bullet. So one of the things I'd say about Q3 is we needed to do these things. We need to be normalized in 2023 and not have a large pickups. It is not a cash item because until we complete the year and we actually have the success we want, there's still discretion from the Board as to how much of the bonuses are paid out. And so it will be probably February, March before we get a complete understanding of what percentage of that $1.9 million is paid out. I'm hoping that we achieved such that a large portion is. And we are looking at a market where retention is critical and we have a team to kill for here. This team -- I mean we've had very little increase in headcount and yet we've grown the company to a point where we're doing things that the company has never done in its history and so -- with a lot fewer people than it's had in the past. And so I'm very pleased with the team. It's really about retention. Everything about Q3 is, let's get the write-offs for sanitizer through. Let's get the bonus accruals done correctly. Let's make sure that what we're doing is setting up for 2023. Everything we did in Q3 is saying that we're focused on 2023 and what can happen there.
Eric Swergold: And then my next question is the related party receivable jumped quite a bit this quarter. I presume that's ProFrac and this is just a timing issue in terms of it becoming a related part of receivable out of cash?
Seham Carson: That's right. So you're talking about the increase in the AR. And with the increase in activity and the ramp-up, we've really looked at our processes to try to speed this up. And I think we'll see some of the benefits of the enhancements we've made in systems and manual processes at the end of this year.
Eric Swergold: And then my final question, any updates for us on new U.S. customers, Middle East customers, or even with the recovery in deepwater starting -- any updates on deepwater?
Ryan Ezell: Yes. I would say that overall, we're continuing to see the growth of our business in the Middle East. Now compared to speaking, when you look at the total volume of revenue increases we're seeing in the U.S. hydraulic fracturing business, it's not of that magnitude but we're seeing a ton of value-add sales going on there with our complex nano-fluids stimulation services, et cetera, there. We're careful to choose our customer base there just because of the particular return on cash on how fast the payment term to DSO is there because it's a little more challenging in some of those areas but the growth in the Middle East is there. We're super excited about what we're doing in the market share gains that we're pushing in the double-digit range on the stimulation business in North America land. And we're also seeing some other national growth in Latin America when you look at the chemistry business. In terms of the deepwater, we're still seeing activity roll through our plant in Raceland, Louisiana that does a lot of trans mix and loading for deepwater operations related to cementing profit movements, et cetera. But I wouldn't say that we've seen it were significant enough to be a material difference in comparison to our growth in the North American stimulation business.
Operator: And looks like you at this point, we have no further questions. I'll now turn it back over to John Gibson for any final commentary.
John Gibson: Well, thank you very much. I appreciate everybody staying on the call. I just want to cover 2 things here in the end and then we'll catch out with you here on the calls afterwards here to those that call in. First thing, there're 2 things to think about. One is cash and the other one is margin. Those are the 2 most important things we think about here. On the cash side, you can be confident that foregoing an ABL in Q3 and waiting for an opportune time to take cash with lower rates and lower restrictions would be indicative of how confident we are in our cash position. While it may be low, we do not project that we have any issue in terms of working capital here as we go through Q4. And that's why we were able to pass on that and look for better terms. Also it tells you for certain, the next thing is that our margins are improving and we do have a projection of getting to the point where we're in the positive adjusted EBITDA. And very exciting. Not saying exactly when and we're not going to give guidance on that but we definitely have that projected or we would not have walked away from the cash and with the confidence that we did. So be confident in our cash position being okay, we are and be confident in our ability to handle the growth in our margins that are needed to be a profitable company. I'd remind you, we're only 5 months into the contract with ProFrac, that's it. And the hardest thing in my career is to grow revenue. And then when you get the revenue, it is a blocking and tackling exercise in order to get your costs in line so that you're a profitable company. We are now in the blocking and tackling component of this where we've got a lot of work to do. But Ryan and the team, Seham, Nick, James, Bernie, they're all on top of that. And we're confident that we are the right company to take a look at in 2023 and we're excited about what the future holds. And we appreciate you guys and we look forward to talking to you again soon.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.